Operator: Good day and welcome to the Digital Turbine Fiscal 2025 Third Quarter Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brian Bartholomew, Head of Investor Relations. Please go ahead sir.
Brian Bartholomew: Thank you, Chuck. Good afternoon and welcome to the Digital Turbine fiscal 2025 third quarter earnings conference call. Joining me on the call today to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we file with the Securities and Exchange Commission. Also, during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, I'll turn the call over to our CEO, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and good afternoon, everyone. Before diving into our quarterly results, I'd like to announce an exciting addition to our executive team. Steve Lasher will be joining us our new CFO effective tomorrow. Steve brings a wealth of technology and financial leadership experience as a former public company CFO of Vonage and before that handling many financial executive positions with IBM. We're thrilled to have Steve on board. However, it's bittersweet for me as Barrett who has been instrumental in building our business over the past eight years will be transitioning into a consultant role for the next few months to ensure we have a very smooth and solid continuity and transition. When I reflect back on where we were at when Barrett first started on day one and compare that to where we are at today, the progress has been enormous. I want to thank Barrett for everything he has done to build DT and a close relationship we've built over the years, not just as colleagues, but also as friends. Turning to the quarter. I was pleased to see us exceed expectations and also generate positive free cash flow. More specifically, we did $135 million in revenue, $22 million in adjusted EBITDA and $0.13 in non-GAAP EPS. I'll break out additional details in my remarks, but the main takeaways for the investors on the drivers for our improved performance are improved advertising demand for our overall platform. Our transformation efforts are showing early bottom results online results and overall improved execution as a company, especially for our On-Device international business and our brand strategy. We've talked about all these things on prior calls and it's great to see them now showing up in the results and enable us to raise our outlook. For the March quarter, we're guiding for both year-over-year growth not just on the top line, but nearly 50% growth in EBITDA. For our ODS segments, revenues reached $92 million, an 11% sequential increase from the September quarter. We set all-time records for revenue per device both inside the US and internationally, driven by strong advertiser demand. However, this was partially offset by continuing softness with US device volumes. With the anniversary of three year leases here in the US, new AI features and new flagship device launches, we do expect to see stable device sales in the US in 2025. But the highlight here is our nice breakthrough in our international On-Device business. Our On-Device international revenues were up 100% year-over-year, driven by strong advertiser demand and improved execution by our sales, product, tech and operations teams. For our AGP business, we reported $44 million of revenues and $34 million of gross margin. The bright spots continue to be our investment in brands and our PMPs that want to leverage our first-party data to reach their existing and potential customers over our global network. That's now bearing fruit. We achieved double-digit sequential growth in this part of the business. And as discussed on prior calls, this is a strategic objective for us and something we've invested in to differentiate us from other players. We are now in a great position to continue to grow and we will continue to invest here as we believe we are building a moat given the high barriers to entry and work required to earn the trust of brands like P&G, Coke, Disney, Starbucks and so on. However, this new growth has been offset by transitioning from waterfall bidding to SDK bidding on our exchange. Improving our own performance advertising, leveraging our own first-party data is our most important execution improvement area for AGP business. The legacy Fyber and AdColony exchange businesses were focused on waterfall bidding with third-party performance DSPs, primarily buying gaming advertising inside gaming applications. And as expected, these DSPs have been executing their own supply path optimization strategies to vertically integrate their demand connected to their own supply. And for those companies without a strong mediation footprint, it's become a largely commoditized ad tech gaming space for both iOS and Android. We saw this risk years ago and that's why we invested in our own brand and SDK bidding activities to mitigate that risk, increase our own first-party activities over our network and continue to invest in mediation. We've also been able to expand our AGP supply from historically being largely dependent on game publishers to much more diversified over non-gaming. To illustrate this point, our DTX revenues on non-gaming applications have nearly doubled over the past year. In summary, our investment and focus areas are showing encouraging growth that is now showing up both in gross profit and EBITDA. We needed them to show faster growth to offset the impacts of US device sales with our legacy supply partners and also outrun our legacy performance DSP declines on our exchange as we transition to more brand AI machine learning in our data science, increase our non-gaming applications and finally improve our share of voice or first-party performance demand over our network. Those are our AGP priorities. Turning to future, our focus is on growth and efficiency. The keys to driving growth are more devices, improved performance from legacy and new products and a wider and deeper net of media and brand relationships. The key to efficiency is automation, aligning operating cost to gross profit and realigning our people, process and systems for maximum benefit. Barrett will provide more details on our transformation activities in his remarks, but on our last call, we discussed targeting more than $25 million of annual operating expense savings from this work and I'm pleased to announce we're on track to accomplish that goal. Our other goal is driving growth. As a reminder, our growth drivers are devices, products and media relationships. And for devices, our goal is to expand and deepen our device footprint. And despite the soft device sales in the US, we've been expanding our global device relationships through partners like Motorola, Nokia, ONE Store, Xiaomi and Telecom Italia Brazil and now T-Mobile here in the United States. This new supply was a growth driver for our international RPDs improving as more supply density helps us bring more scale in our demand. Our second growth driver is expanding our product portfolio for both our ODS and AGP businesses. Scaling new ad tech and On-Device capabilities are critical to our return to growth. On our AGP business, as mentioned earlier, our SDK bidding capabilities have been a nice product enhancement to unlock brand spends on our exchange. While we still have plenty of work to do to transform our migration to this method of bidding, SDK bidding is already showing strong growth. It's now over 70% of total impressions on our exchange compared to only 5% a year ago. And we're diversifying away from our waterfall bidding now at less than 30% of our traffic compared to over 90% a year ago. Our investments in first-party data and our Digital Turbine Exchange and other features here are a major enabler to drive more brand revenues through our network. Our other AGP product growth driver will be increasing our share of voice for leveraging our first-party data and our Ignite capabilities via our demand side platform or DSP. We do this today through our appreciate acquisition, which is showing renewed growth. We're also beginning to partner with many other third-party DSP that can help grow our share of voice. This all translates not into just top line revenue growth with more demand dollars, but it's very key in driving the flywheel effects of improving revenues on our other products such as SingleTap, the Exchange and FairBid, our mediation product. Primary product growth drivers on our ODS business are SingleTap alternative apps and better leveraging our first-party data for our existing products. SingleTap continues to add more devices, more advertisers and better execution. It's early days for alternative app distribution approach, but as many saw with our PR late last year, our announcement of ONE Store, our strategy is now starting to come together. We've already distributed ONE Store on many millions of devices and are scaling quickly as we are live on three operators here in the US, including Verizon. Epic, Microsoft and Pinterest are recent examples of partners taking advantage of our alternative and SingleTap distribution services. We believe one of the keys to unlocking more device supply will be the ability to offer alternative app distribution to publishers, OEMs, mega cap tech players and mobile operators. Many of you have read about all this regulatory activity around the globe in the EU, Japan, Korea, India and also here in the US. There's building momentum to increase options for consumers and publishers on how they distribute and get applications to market. All of our hard work over the past decade has positioned us perfectly to leverage these opportunities. I also want to emphasize that the alternative app strategy is not just about new in-app payment revenues, but perhaps more importantly, be a catalyst to accelerate our existing lines of business beyond this fiscal year. Today, approximately 50% of our business is driven by user acquisition and 50% driven by in-app advertising. Our app publishers want to find ways to acquire more users at lower cost with alternative users and we believe that this will also open up new app providers to leverage our ad tech stack as part of the strategy, thereby driving more AGP revenue growth. We're live today running both alternative app user acquisition campaigns and in-app advertising, leveraging our technology. In other words, improving our present revenues and cash flow are both closely linked to the future strategy. In conclusion, the December quarter and current March quarter are additional data points demonstrating that Digital Turbine's momentum has changed. The business is transforming both strategically and financially. We're confident we have the right strategy, partners, market opportunity, commercial model and products to have a very bright future. We're in the right space at the right time, which is critical for any technology company. And with that I want to turn it over to Steve Lasher to say a few words and then over to Barrett to take you through the numbers.
Stephen Lasher: Great. Thanks, Bill. Hi, everyone. I look forward to getting to know the Digital Turbine shareholder and analyst community moving forward. I'm thrilled to be joining Bill as part of the Digital Turbine leadership team. Digital Turbine is a highly innovative company that sits at the precipice of tremendous market opportunity and I'm eager to contribute to the efforts and unlock significant shareholder value for all our stakeholders. Without any further ado, let me turn it over to Barrett, who will take you through and give you more color around the positive performance for December quarter.
Barrett Garrison: Thanks, Steve, and good afternoon, everyone. Before diving into our quarterly performance, I'd like to take a quick moment to address my transition. Reflecting on my time at Digital Turbine, I am truly humbled and grateful for the incredible journey I've had here over the past eight plus years. What we've achieved as a company, the teams we've built and the partnerships we formed have been nothing short of remarkable. And none of this would have been possible without the dedication and hard work of our talented team members who have made it all happen day in and day out. A special thank you goes to Bill. Working alongside you have been a truly rewarding experience, your leadership, vision and unwavering commitment to our team and our vision have been inspiring. And I have no doubt Digital Turbine will thrive in the years ahead. While this transition is bittersweet, I'm excited for what lies ahead for both myself personally and for Digital Turbine. I will remain involved through the transition to ensure a smooth handoff and I have full confidence that Steve will be an excellent addition to the leadership team. His experience will be invaluable as the company continues on this next wave of growth. Now turning to the performance in the quarter. We were pleased to see results exceeding expectations for top line, profitability and cash flow measures. Revenue of $134.6 million in the quarter was up 13% sequentially, delivering EBITDA of $22 million and generating positive free cash flow of $6.4 million in the quarter. In our ODS segment, revenues reached $91.7 million, a 11% increase from the September quarter and down 3% compared to the same period last year. As Bill highlighted, revenue per device or RPD reached record levels across both US and international devices. This elevated RPD performance helped offset continued softer US device volumes in the quarter as we continue to be encouraged by the positive revenue growth from our international ODS efforts. Turning to our AGP business. Q3 revenues came in at $43.8 million, representing 17% sequential quarter growth. Revenues from brand spending continue to be a positive area with the rate of growth accelerating to 34% year-on-year. As a reminder, we have now lapped the comps for the legacy business lines we exited last year and Q4 fiscal '25 will be our first normalized comparison period for our core products. Our consolidated Q3 gross margin was 44%, down from 45% in Q2 and 46% in Q3 of the prior year. This modest sequential decline in margins was primarily influenced by product mix changes in our ODS segment. We continue our focus on pursuing expense efficiencies to maximize the profitability of our growth strategy. We remain disciplined in our cost control measures, which I will discuss further in relation to updates on our transformation program that we announced on our last call. In Q3, our cash operating expenses were $37.6 million, down 3% sequentially and 3% year-on-year, representing 28% of our revenues for the quarter. As I discussed on our last earnings call, we have been focused on driving a significant transformation program across the business with a target of achieving over $25 million in cost reductions. I'm pleased to report that we are tracking well against this target, having already taken actions totaling more than $25 million in annualized cost efficiencies. To break this down further, we expect the first full quarter of fiscal '26 to be $25 million plus takeout actions to be fully reflected within that quarter. And we are continuing to drive further efficiencies that we anticipate will push us beyond our initial goals. These savings are a direct result of our ongoing efforts to streamline operations, optimize our cost structure and leverage the platform migrations and system integrations that we completed last year. In addition to realizing these cost savings, we are also retooling and enhancing key work streams and processes across the business. A prime example of this is our efforts to automate and streamline our billing and invoicing processes. This initiative is not only improving operational efficiency, but is also enhancing our working capital management, which is helping to optimize our free cash flow. As we said before, this is not just about cutting costs. It's about creating a faster, leaner and more agile organization. We've made difficult but necessary decisions to reduce head count across all areas and to eliminate nonstrategic expenses, which are enabling us to reinvest in areas that will drive long-term growth, such as our alternative app business. We remain committed to achieving even greater efficiencies in the quarter ahead. While we've made significant progress, we continue to challenge ourselves to identify further opportunities to improve our cost structure and exceed the $25 million target to fuel our growth plans. We expect to continue to provide further updates on our transformation efforts during our next earnings call. In the quarter, we achieved non-GAAP adjusted net income of $13.7 million or $0.13 per share as compared to $15.6 million or $0.15 per share in the third quarter of fiscal '24. Our GAAP net loss was negative $23.1 million or $0.22 per share based on 104 million basic shares outstanding compared to prior year net loss of $0.14 per share. Moving to the balance sheet and cash flows. Our cash balance at the end of the quarter stood at $34.6 million, an increase of $2.5 million from the September quarter. Free cash flow generated in the quarter was $6.4 million driven from improvements in both business performance and continued working capital efficiency. Our debt balance remained constant to the prior quarter, ending at $408 million. As our business continues to strengthen, we would expect to pay down our revolver in quarterly increments. With steady growth in sequential EBITDA and the executed cost reduction actions I referenced earlier, we maintain ample liquidity to execute on our growth plans. Now let me turn to our outlook. We anticipate revenue in the range of $485 million to $490 million for fiscal year 2025 with projected non-GAAP adjusted EBITDA of between $69 million and $71 million. In closing, I just want to express my heartfelt gratitude to everyone at Digital Turbine, our shareholders, partners, Board and most importantly, my colleagues. Thank you for allowing me to be part of something so special. I'm looking forward to watching the company's success and are excited about the future ahead. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Anthony Stoss with Craig Hallum. Please go ahead.
Anthony Stoss: Good afternoon, guys. Welcome aboard Steve and Barrett best of luck. It was nice working with you through the years. Bill, I wanted to focus on your comments about the brand, big brand names coming back to you on the advertising side. Was that because it was a seasonally strong December quarter? What's changed that they're getting more comfort in coming back to Digital Turbine? And I had a follow-up.
Bill Stone: Yes. Thanks, Tony. On the brand business, I'd just like to say it's a good old fashioned hard work. It's perseverance. It takes time to build those relationships on some of the names I mentioned in my prepared remarks. There's advertising agencies, obviously, the brands themselves and a lot of people involved in earning their trust. And so it's something we've been talking about for a long time. And it's been really nice to start seeing it showing up in the results for the business and getting approved to be the in-app choice versus a CTV or retail media and things like that. There are a lot of brand dollars are going to today for a lot of these players is something we think we can really build around right now that we're excited about.
Anthony Stoss: Got it. And now that you're powering the Epic alternative app store and I think they're gearing up to bring on third-party advertisers and there hasn't been much of a response from Google as far as I've seen. Is that giving confidence to other large publishers to get ready to launch their own app stores? And if so, can you maybe not share the names, but just give us a sense of quantity and when you think some of these guys can launch also using Digital Turbine in calendar 2025?
Bill Stone: Yes. So Epic has done a great job out there building awareness and really educating the market around this. So they've done an amazing job. I think also in my prepared remarks, I had mentioned Microsoft and their Xbox Group as well that we're doing some things with. And so I think that's another good proof point and validation here. So the awareness is growing and growing. It's much stronger than what we've seen here a year ago and now we're starting to see that growth turn into actual distribution on devices. I think the key watermark I'd highlight for investors is what does the European Commission do with the Digital Markets Act and Apple's compliance of that here as we get into 2025. I think that's going to be an important moment I keep an eye on and perhaps a watershed moment to see a lot of people get a lot more aggressive. And as I mentioned in my remarks, we're really uniquely positioned to take advantage of that.
Anthony Stoss: Thanks, Bill, and congrats on the return to good execution. Thank you.
Bill Stone: Thanks, Tony.
Operator: [Operator Instructions] Our next question will come from Omar Dessouky with BofA Securities. Please go ahead.
Arthur Chu: Hey, guys. It's Arthur on for Omar. Thanks for taking my question. So Bill I know it's still early and you guys are not providing outlook for next year yet. But I'm just curious like what are some of the key sort of moving pieces or dynamics you contemplate when thinking about how 2025 would look like probably relative to this year?
Bill Stone: Yes. As I think about going into next year and then we'll provide an annual guide. Our anticipation would be as we get into, on our next earnings call, as you're well aware, we start on a March fiscal year, not a calendar year. And as we kind of think about what's important going into this current year, for us, it's really just building on the things we've done over the past year. And now we're in a point to really grow and scale it. So Tony had asked a question on brand. That's absolutely one of those things. I spent a lot of time in my remarks talking about the importance of our data and first-party data and how we better leverage that. We made some real progress on the plumbing for that. Now it's time to take advantage of all the plumbing we've done and actually turn it into revenue and EBITDA for us in the coming year. I talked a lot about devices and that was really something I'd keep an eye on is just our growth in devices from those operators that haven't been our legacy ones over a number of years. I think there's a lot of exciting things happening there and that's when that growth showed up in the December quarter. And so those would be kind of the keys that I think about in terms of our growth into next year, but it's absolutely our intention to continue the momentum that we've been building here.
Arthur Chu: Thanks, Bill. Appreciate it.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Bill Stone for any closing remarks. Please go ahead sir.
Bill Stone: Yes. Thanks, everyone. I appreciate you joining the call today. We'll talk to you again on our fiscal '25 fourth quarter call in a few months. Thanks and have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.